Operator: Good morning, ladies and gentlemen, and welcome to the KCAP Financial conference call. An earnings press release was distributed yesterday. If you did not receive a copy, the release is available on the company's website at www.kcapfinancial.com in the Investor Relations section. As a reminder, this conference call is being recorded today, Thursday, August 2, 2018. This call is also being hosted on the live webcast, which can be accessed at our company's website at www.kcapfinancial.com in the Investor Relations section under Events. Today's conference call includes forward-looking statements and projections, and we ask that you refer to KCAP Financial's most recent filings with the SEC for important factors that could cause actual results to differ materially from these projections. KCAP Financial does not undertake to update its forward-looking statements unless required by law. I would now introduce your host for today's conference, Mr. Dayl Pearson, President and Chief Executive Officer of KCAP Financial. Mr. Pearson, you may begin.
Dayl Pearson: Thank you. Good morning and thank you all of you for joining KCAP Financial for review of our second quarter 2018 results. Today, I will review key highlights and activities from the quarter. I will then turn over the call to our Chief Financial Officer, Ted Gilpin, who will provide a more thorough review of our operating and financial results for the quarter, and then open the line for the questions. Overall, we've continued to execute on our strategy to lower our overall borrowing costs, optimize our balance sheet and position ourselves for growth. Second quarter performance was relatively flat compared to the prior quarter, which is due mainly to competition in the market around high quality transactions as well as higher than expected professional fees. The competitive environment has led to spread compression and we have elected not to deploy capital on transactions where we judge the market was not offering yield commensurate with risk. As a result, while we have actually been a little slower to put capital to work than we anticipated, we have been vigilant with the result that the credit quality of our portfolio continues very strong. Whereas, the wider industry has seen a sharp increase in nonaccruals, we have a good portfolio of assets, strong liquidity and lot of flexibility in our path forward. Let me briefly touch on our sources of liquidity. As you will recall, we have a credit line of $50 million of which approximately $29 million remains undrawn. We also have cash on hand of approximately $15 million so our current dry powder is approximately $44 million. Our ability to sell some of our lower yielding loans provides us with an additional source of liquidity, although we have rotated out of most of the legacy placeholder assets. Turning to our joint venture, the $300 million fund owned by the joint venture and managed by KCAP is fully invested and is performing as expected. And the close out to liquidity discussion, we do not have - we do have the potential to upsize that fund if we choose to and order to create additional liquidity. But first, we need to make sure that there are enough assets there to support the upsize. Now let me give you a high level summary of our second quarter financial highlights before handing over to Ted. For the second quarter, our net investment income was approximately $2.5 million or $0.07 per share. NII for the six months was $0.13 per basic share. Our estimated taxable distributable income for the six months was $0.14 per basic share. Turning to our performance of - the performance of our Asset Manager Affiliates during the second quarter. We are using a significant portion of the assets from one of the Catamaran CLOs that was called in the first quarter to fund a warehouse, which we began to market for a new fund in the second quarter. Our second quarter distribution was $0.10, same as the first quarter. At the end of the quarter, we had approximately $15 million investable cash, which we intended to redeploy in transactions that generate cash flow as we need to further distributions to shareholders. The market for new CLO funds continues to be robust, especially with the end of risk retention. As of June 30, 2018, our weighted average mark-to-market on par for our debt securities was 95, consistent with the market in the fourth quarter - the mark in the fourth quarter, sorry. In terms of our CLO portfolio, our weighted average mark-to-market value was 65, similar to the first quarter. With the $200 million we currently have in assets in our new CLO warehouse, which we are trying to close this year. We could see another reset or two additionally in the near future. And while we have already done a fair amount of resets, there is always potential to do more, which will extend the life of existing funds. We will continue to keep you updated our decisions when they are made. Our 100% ownership of the Asset Manager Affiliates is valued approximately $36.8 million based upon assets under management and prospective cash flows. The AMAs have approximately $2.8 billion of assets under management, with all CLO 1.0 redeemed and the 2.0 outstanding, with additional - plus the additional one currently in warehouse. Our CLO portfolio at the end of the second quarter was valued approximately $40 million. At the end of the second quarter, debt securities approximated $162 million which represented about 59% of our investment portfolio. Secured loans represent 82% of the debt securities portfolio. All CLOs managed by the - our Asset Manager Affiliates continue to be current on equity distributions and management fees. This income stream from our AMAs allows them to make periodic distributions to us. During the second quarter, there were distributions totaling $800,000, of which approximately $500,000 is estimated to be a return of capital. Additionally, as of June 30, our AMAs had approximately $2.8 billion of par value assets under management. Overall, in terms of economic performance, what we are seeing in the markets is that economy continues to be relatively strong and there is substantial liquidity to invest in both syndicated loans and middle-market loans. As a result, transaction structures remain issuer friendly. We also continue to see numerous transactions in cyclical industries, which is a concern. Again, while this quarter was flat, we are focused on reshaping the portfolios that we put capital to work and generate returns for our shareholders. We remain open minded to avenues that generate value and are consistently looking for opportunities to create stockholder value. And now I'll ask Ted Gilpin to walk through the details of our financials.
Edward Gilpin: Thank you, Dayl. Good morning, everyone. As of June 30, 2018 net asset value stood at $4.72 compared with $4.85 as of December 31, 2017. As Dayl just mentioned, our net investment income was $2.5 million or $0.07 per basic share for the second quarter 2018. Net investment income for the six months ended June 30, 2018 was $5 million or $0.13 per basic share. While estimated taxable distributable income for the six months of 2018 was $0.14 per basic share. Interest income on our debt securities for the quarter ended June 30, 2018 was $4.3 million or $0.11 per share compared with $3.8 million or $0.10 per share for the first quarter of 2018. Interest income on our debt securities was $4.8 million or $0.13 per share in the second quarter of 2017. Our debt securities portfolio contribution to total investment income for the quarter was 62%, which compares to approximately 55% for the first quarter of '18 and 62% for the second quarter of 2017. Investment income from CLO funds securities decreased to $1.5 million or $0.04 per share in the second quarter of 2018 from the $1.9 million or $0.05 per basic share reported in the first quarter of '18 and $2.8 million or $0.08 per share in the second quarter of 2107. We experienced $3.8 million or $0.10 per share of unrealized losses on the portfolio during the second quarter with AMA and CLO equity positions accounted for $2.3 million or $0.06 per share of that total. We received distributions from our Asset Manager Affiliates of $800,000 or $0.02 per share in the second quarter of 2018, $500,000 of which - or $0.01 per share, which is estimated to be return on capital. The Asset Manager Affiliates distributed $650,000 or $0.02 per share in the second quarter of 2017, all of which was return on capital. For the three months ended June 30, 2018 total expenses were lower by approximately $731,000 or $0.02 per share as compared to the same period in 2017, primarily attributable to the decrease in interest expense. The company recorded net realized and unrealized losses on investments of approximately $3.5 million or $0.09 per share for the six months ended June 30, 2018 compared with net realized and unrealized losses approximate $2.8 million or $0.08 per share for the six months ended June 30, 2017. On the liability side of our balance sheet, as of June 30, 2018, we had approximately $105.6 million par value of borrowings outstanding with a weighted average interest rate of approximately 6.1%. Our asset coverage ratio at quarter end was 263%, compliant with the current minimum requirement of 200% for BDCs. As you know BDCs can increase their leverage under a newly passed statute and KCAP's board has approved the adoption of the new leverage, which will become effective in March of 2019. However, KCAP would still be restricted in its ability to increase leverage by covenants in our existing outstanding publicly traded debt. But of course, these new asset cover ratios would give us significantly more flexibility to invest once we have the requisite approval of our shareholders. With that we now like to turn the call over to you for any questions. Operator?
Operator: [Operator Instructions]. The first question call comes from Paul Johnson of KBW.
Paul Johnson: My first question has to do with the outstanding debt, the bonds that you have outstanding. I see that the larger of the two, I guess, is callable on September of next year. I'm wondering if you guys have any thoughts around - as you approach that date, it's obviously after that March date that the 2:1 leverage goes effective for you. Do have any thoughts around what you would do with those. And if you could potentially, I guess, call those whether or not have the priority?
Dayl Pearson: Yes, I think it's going to be a function of where we are in terms of being fully invested in. And I think, obviously, those are attractive from a rate perspective right now. But, obviously, taking advantage of the increased leverage is even more attractive. So it's something that we've discussed at the board level and I think we don't need to make a decision on it today. But assuming we can get to a point where we're closer to where the current leverage cap is, we probably would call those bonds and refinance them with our credit facility. Our lenders are constantly asking us when we're going to upsize and borrow more? So we have a fairly friendly lender group that wants to see us borrow more from them. So I would anticipate we're on this call in April or rather August of next year we'll probably have a clear path on that.
Paul Johnson: Okay, thanks. It's very helpful. And my second question has to do, is there anything in particular that drove the write-down this quarter in the asset manager, I think it was written around - down around $2 million or so. I'm just wondering if there is anything...
Dayl Pearson: Yes. I think that's reflective of the fact that we had made a loan to the asset manager for them to enter into a couple of risk retention financings for Catamaran 2013-1 and 14-2. So we had a financing on the entire strip - the 5% strip, including the equity owned by the asset manager. And we unwound all the debt. We paid off all the debt, which reduced our loan by about $6 million. We still have a small loan outstanding, which was - which is - the interest on which is more than covered by the distributions from CLO equity. Those CLO equity pieces, as with our other CLO equity pieces, were impacted in the quarter by some sort of technical things, particularly the fact that there was a historic spread between one month and three month LIBOR. I think something close to 60% of our borrowers chose one month LIBOR and of course we have to borrow at three months LIBOR in the CLOs. So that 30 basis point differential had an impact in the short term on the cash flows which impacts the valuation, so it will - so impacted those equities. We anticipate that - is that spread narrows. We anticipate that sort of reversing itself over the course of the next quarter or two.
Operator: [Operator Instructions]. There are no more questions in the queue. I would like to turn the call back to Mr. Dayl Pearson for any further remarks.
Dayl Pearson: Thank you, and thank you everyone who was on the call today. And we will be speaking to you in the third quarter in early November. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.